Operator: Welcome to the Lee Enterprises, Inc. Second Quarter 2021 Conference Call. The call is being recorded and will be available for replay beginning later this morning at lee.net. At the close of the planned remarks, there will be an opportunity for questions. [Operator Instructions] A link to the live webcast can be found at investors.lee.net. Now I'll turn the call over to your host, Josh Rinehults, Vice President, FP&A. Please go ahead, sir.
Josh Rinehults: Good morning and thank you for joining us. Speaking on this morning's call is Kevin Mowbray, President and Chief Executive Officer; and Tim Millage, Vice President, Chief Financial Officer and Treasurer. Also with us on today's call and available for questions is Nathan Bekke, Vice President, Consumer Sales and Marketing. Earlier today, we issued a news release with preliminary results for our second fiscal quarter of 2021. It is available at lee.net as well as at major financial websites. One housekeeping item to start. We closed on the acquisition of BH Media Group and The Buffalo News on March 16, 2020. Certain results and trends are presented on a pro forma basis, which assumes ownership of these acquisitions for the entirety of the periods presented. As a reminder, this morning's discussion will include forward-looking statements that are based on our current expectations. These statements are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and also in our SEC filings. During the call, we make reference to certain non-GAAP financial measures, which are defined in our news release. Reconciliations to the relevant GAAP measures are included in tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray.
Kevin Mowbray: Thank you, Josh. Good morning and thank you all for joining the call. I'm extremely proud of the velocity at which our team is moving, the engagement we're seeing in our local markets, and our three-pillar digital growth strategy that we discussed with all of you in early April. Our second quarter results reflect that performance, as we saw continued sequential top line revenue trend improvement, strong cost management, and adjusted EBITDA growth for the first time in several years. Total operating revenue improved 280 basis points for the first quarter as we remained keenly focused on executing on our three-pillar digital growth strategy. In the second quarter, nearly 50% of our revenue was annualized recurring revenue, which totaled $95 million in the quarter. Total digital revenue was $59.5 million in the quarter up nearly 30% and represented 31% of our total operating revenue. Digital subscriptions continue to grow at a rapid rate up 58% compared to the prior year and we grew digital only subscription revenues, 68% as well. We now have 309,000 paid digital subscriptions, which is helping us drive audience revenue performance. These metrics demonstrate where the fastest growing digital subscription platform in local media. Each month in the second quarter, we saw sequential growth in total paid subscribers. This means that the growth of our digital only subscribers is outpacing the declines of our full access subscribers returning to total paid audience growth is a significant milestone for Lee. As we continue to drive our digital transformation efforts. Audience revenue in total was up 1.8% compared to the prior year as a result of the strong yield management of our full access subscriptions and the 58% digital only subscriber growth in the quarter. Town News, which is our software-as-a-service content management platform, is the digital backbone of our operations and that have over 2000 other media partners and revenue at Town News continues to perform well up 8.8% on a standalone basis with revenue of $26.1 million over the last 12 months. Growth in revenue at Town News continued with our audience revenue streams is driving the increase in annualized recurring revenue. In advertising, local retail accounts, top local accounts and SMB in our markets are our focus. We believe this segment of our revenue will improve and grow. Our strategy to drive advertising revenue from the local retail segment leverages the 70% reach in our markets and contributed to our continued strong revenue trend improvement. Consistent with our overall revenue trends, advertising revenue trends significantly improved in the second quarter. We've achieved continuous advertising revenue trend improvements since the worst of the pandemic last year and posted strong quarter-over-quarter comparisons in the March quarter. Advertising revenue trends improved 600 basis points compared to the first quarter trends, excluding the political bump we experienced in the first quarter. Additionally, we've made significant investments to diversify the products and services we offer local advertisers. We saw strong performance from our digital marketing services agency amplified with revenue growth at 26.3% of the quarter. We saw significant growth of video revenue, which totaled $1.8 million in the second quarter. These revenue streams combined with strategies to develop ecommerce and first party data revenue are laying the foundation for significant digital advertising revenue growth in the latter half of fiscal year, 2021. Lee is on a clear path to leverage the strength of our market position, improved capital structure, and well-established digital foundation to drive long-term growth. We've set a bold course for our digital future. We will gain momentum as we execute our strategy and rebound from the pandemic as a stronger company, having proven how critical our mission of high value local news is for our readers and the value of the resilience of our platform for our advertising partners. We're very excited about our progress that we've made on our digital transformation. We're very optimistic about our future. We believe we have the right team and the right strategies aimed at growing revenue year over year, and we believe we are better positioned than ever to drive long-term shareholder value creation. And now I'll turn it over to Tim to give you more financial detail.
Tim Millage: Thank you, Kevin. And good morning, everyone. We continue to diligently manage our cost structure at the same time as making the necessary investments to fund our digital growth. In June of last year, we laid out a target to achieve $100 million in cost synergies by the end of fiscal year 2021. We established plans and executed quickly. And at the end of the second quarter, we've achieved $110 million in cost synergies exceeding our target. Total cash spots were down 9.1% in the second quarter compared to the same quarter, last year, compensation was down 8% due to business transformation and acquisition integration initiatives. Newsprint and ink expenses down 26% due to a reduction in our print units, as well as pricing. Other cash costs includes print related costs like print production expenses and delivery expenses. And it also includes expenses related to the digital and technology investments we have made. Other cash costs were down 8.4% in the quarter, due to a reduction in print related costs, partially offset by the incremental digital investments. As a result of the strong revenue performance, Kevin walked through and cost management that I discussed, adjusted EBITDA total $24.1 million in the second quarter, up year-over-year for the first time in several years, for the year-to-date period adjusted EBITDA totaled of $64.1 million. With strong cash flow in the quarter, we have strengthened our balance sheet. Debt was reduced $24.6 million in the second quarter, and the principle amount of debt at the end of March totaled $498.9 million. Over the last nine months that has been reduced by $77.1 million. Also while not seen in our balance sheet yet, as we revalue our pension liability at fiscal year end, in accordance with GAAP, our tension and postretirement benefit obligations at the end of March, are in a net overfunded position. This is a significant improvement in our balance sheets since September 2020, where the net underfunded position was $95 million. As a reminder, our credit agreement has a low fixed annual interest rate, a 25 year maturity, no fixed mandatory principal payments and does not have financial performance covenants. Meaning we do not have events of default tied to leverage or other maintenance ratios derived from financial performance of the company. Most importantly, the debt is with a single vendor who knows us well and is committed to our success. The credit agreement also has no prepayment penalties, which affords us the ability to evaluate credit market conditions for an opportunistic refinancing in the future to further improve our debt structure. Our strong foundation, and well-defined long-term strategy puts lean enterprises on a clear path to value creation for our readers, users, advertisers, and our investors. As we execute and approach our target leverage ratio of 2.5 times, we expect to create significant value for our shareholders through conversion of debt to equity. Also, our three pillar digital growth strategy positioned us to unlock the full value of Lee's platform and achieve multiple expansions that is in line with our digital first peer companies, creating more value for the shareholders. In summary, we are really encouraged with our second quarter results, the progress we have made on our three pillar digital growth strategy, and are optimistic about the future of Lee. One last thing, before we open the line for questions, we expect to file our 10-Q with the SEC tomorrow, and as always, it will include additional information on our results and expectations. This concludes our remarks. The team will remain on the line for any questions you may have. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions]
Josh Rinehults: Okay. Our first question is. Is Lee participating in Facebook or Google's programs to support news?
Kevin Mowbray: Yes, we are last fiscal year we received grants from both Facebook and Google to support our newsroom's digital transformation, and they total about $300,000.
Josh Rinehults: Our second question is that, are print advertising revenues increasing or decreasing, and are the trends uniform across your properties?
Tim Millage: What I say is our total advertising revenue trends are improving significantly since the worst of the pandemic in the third quarter of last year. You know, as a reminder, third quarter trends were down 39%, third quarter last year, and we've significantly improved those trends, you know, going through every quarter since then. In the second quarter of this fiscal year, advertising revenue trends were down 16.3%. So showing some significant improvement and getting back to kind of the pre-pandemic levels, which we expect to see in the latter half of fiscal year, 2021.
Josh Rinehults: Our next question is, what trends are you seeing in print circulation numbers? And if they're dropping is the digital subscription revenue enough to offset it?
Kevin Mowbray: Yes, as I mentioned in my remarks today, our total paid units are actually up year-over-year and our circulation audience revenue is up 1.8% compared to the prior year quarter.
Josh Rinehults: That concludes the question-and-answer session, I'll turn it over to Kevin for some closing remarks.
Kevin Mowbray: Well, thank you for joining us on the call today. As I mentioned earlier, we remain focused on executing at a high level and we're keenly focused on transforming our business models for the long-term benefit of our employees, our readers, or advertisers and our investors. We appreciate your time you've invested in Lee. And thank you again for joining the call today.
Operator: Thank you. Ladies and gentlemen, at this time we have reached the end of our question-and-answer session. This concludes our call.